Operator: Good morning and welcome to TETRA Technologies' Second Quarter 2018 Earnings Conference Call. The speakers for today's call are Stuart M. Brightman, Chief Executive Officer; and Elijio Serrano, Chief Financial Officer for TETRA Technologies Inc.; also in attendance is Brady Murphy, President and Chief Operating Officer. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I will now turn the conference over to Mr. Brightman. Please go ahead, sir.
Stuart Brightman: Thank you, Andrew. Welcome to the TETRA Technologies' second quarter 2018 earnings conference call. Elijio Serrano, our Chief Financial Officer and Brady Murphy, our President and Chief Operating Officer, are also in attendance this morning and will be available to address any of your questions. I will highlight few key items and then it over to Elijio for some additional details, which in turn will be followed by your questions. I must first remind you that this conference call may contain certain statements that are or may be deemed to be forward-looking statements. These statements are based on certain assumptions and analyses made by TETRA and are based on a number of factors. These statements are subject to a number of risks and uncertainties, many of which are beyond the control of the Company. You are cautioned that such statements are not guarantees of future performance and that actual results may differ materially from those projected in the forward-looking statements. In addition, in the course of the call, we may refer to net debt, free cash flow, adjusted EBITDA, adjusted profit before tax or adjusted earnings per share, backlog, coverage ratio or other non-GAAP financial measures. Please refer to this morning's news release or to our public website for reconciliations of non-GAAP financial measures to the nearest GAAP measures. These reconciliations are not a substitute for financial information prepared in accordance with GAAP and should be considered within the context of our complete financial results for the period. Earlier this year, we announced a series of actions to streamline TETRA's segment structure through the divestment of our offshore decommissioning business in Maritech and to focus on our core businesses where, we believe, we can generate the highest returns on capital. With that realignment, we moved to new segment reporting to provide better visibility to our investor based on the key drivers that drive improved profitability. We shifted our focus to those businesses that are more predictable and generate more consistent results. The first full quarter under this new segment reporting structure, we believe, is a good indication of what TETRA and CSI Compressco can achieve. Overall, we had a very strong second quarter. I'll highlight five key messages. First, all of our business segments reported strong sequential improvements in revenue and adjusted EBITDA, driven not only by Permian Basin, but also by strong improvements in the MidCon, Rockies, Northeast and South Texas. Next we generated TETRA-only free cash flow of $18 million when TETRA-only revenue increased sequentially by $46 million. Normally, such a significant sequential increase in revenue would have cost working capital in the other direction. The SwiftWater acquisition continues to outperform acquisition economics on a run rate basis. Fourth, we continue to build a strong backlog in CSI Compressco in addition to seeing the benefits of better pricing in materially improved gross margins for compression services. Finally, we announced, several weeks ago, our global agreement with Halliburton to jointly market and further develop our proprietary CS Neptune completions technology. Expanding on these five areas. Completion Fluids and products revenue increased sequentially by 44% reflecting our seasonal Fluids business in Europe, in addition to stronger U.S. onshore activity in multiple basins. Adjusted EBITDA of $13.7 million was more than double the first quarter. As stated earlier, we recently issued a press release on the global joint marketing and development agreement with Halliburton for the sale and distribution of TETRA's proprietary family of TETRA CS Neptune Completion Fluids. The collaborative agreement also fosters and drives further development with other oil and gas drilling and Completion Fluids based on the respective technologies and resource capabilities. We look forward to working closely with Halliburton to expand sales and jointly develop new offerings. And we expect this to be a great relationship for years to come, especially as deepwater drilling and activity rebounds. We have had initial meetings and identified several opportunities through the newly established relationship. These are, in addition to, the two projects we had previously mentioned that we are working on delivering in the second half of 2018. The opportunities identified with Halliburton will be in 2019 and beyond. One of these two projects we're expecting in the second half of the year is in the advanced stages of drilling, and both projects referenced are outside the Gulf of Mexico. We are seeing signs of a rebound in the offshore market. Several weeks ago, we secured a deepwater multi-well Completion Fluids project for a super major in the Gulf of Mexico that will be delivered in 2019. This is the first significant award for us in deepwater Gulf of Mexico since the downturn. In addition, activity in backlog continues to increase in the North Sea for our Fluids products. Water management and flowback services revenue was up 37% sequentially, while adjusted EBITDA was up 74%. Incremental EBITDA margins were 38%. Adjusted EBITDA was 24.1% of revenue. This strong performance is coming from multiple areas. SwiftWater continues to outperform our expectation, as we have been able to leverage the existing customer basis of TETRA with the customer basis of SwiftWater, expand product offerings, use our proprietary TETRA STEEL double-jacket lay-flat hose more extensively and benefit from the larger employee base, all of this driving enhanced financial performance. Also very important, we see a strong rebound in water management activities in the Rockies, MidCon and Northeast. The addition of the SwiftWater management team to focus on the Permian allows the rest of the TETRA segment management to focus on driving growth and improving profitability in the other geographic regions. Adjusted EBITDA for flowback and Production Testing in both the U.S. and internationally was also up sequentially. Our adjusted EBITDA margins for the onshore flowback business are approaching our historical highs, as we've seen the cumulative effect of better pricing and improved equipment utilization. We continue to focus our efforts on those customers that value service, safety and quality. And we believe we're getting compensated for delivering TETRA's unique value proposition. We continue to be very encouraged to see the regions outside the Permian respond well with higher activity, improved profitability in both the water management and flowback testing side. Additionally, during our investor meeting in New York City several months ago, we mentioned that we are integrating our Fluids offering at the wellsite to create operational efficiencies for our customers through our suite of products and services and create additional opportunities for TETRA. We have successfully secured our first major integrated recycling project for a super major in West Texas and have secured a major integrated fluid management offering for another key customer. We expect to have up to three fully integrated fluid management projects using our proprietary automation technology running by the end of the year. We believe this will further differentiate us from the competition, allow us to secure improved pricing and put us in a position to continue to gain and retain market share in this market. CSI Compressco revenue increased 17% sequentially, and adjusted EBITDA increased 19%. The CSI Compressco team has undertaken a series of initiatives to improve prices for equipment and services, deploy equipment previously idle and invest capital on high-return opportunities. The team continues to focus on improving efficiencies in our field operations, at our fabrication facility, our aftermarket distribution centers and in the back office, all supported by our newly implemented ERP system. This quarter reflected the impact of our financial results from those efforts in efficiency improvements. As we celebrate the one-year anniversary of that deployment, we continue to see the benefits and expect to exceed our investment economics. The upturn in the compression market in North America continues to be strong. Our customers are demanding more compression equipment and services from CSI Compressco, and we have been able to adjust and quickly respond to those demands. This year, we expect growth capital expenditures to add approximately 130,000 horsepower to our fleet. Of this, approximately 85% is over 1,000 horsepower. All orders are customer specific, as we are not ordering or building equipment on speculative basis for our fleet. We're being very disciplined in how we allocate capital and are only targeting new investment opportunities with returns on invested capital 20% or greater, focused on high-horsepower geographic areas with existing strengths and existing customers. This leverages our existing network and infrastructure, and incremental margins fit better when the fleet are in this situation. Given our focus on returns on capital, we have identified the appropriate customers, regions and projects that will properly compensate us for the services and equipment we bring that exceed our hurdle rates. We continue to work closely with these customers on the future compression systems requirements, providing solutions to a range of compression application and horsepower ranges. During the quarter, utilization for 1,000 and higher horsepower equipment focused on the gathering system is now at 94.1%, up from 92.9% at the end of the first quarter. We deployed an incremental 18,505 of active horsepower during the quarter, increasing the amount of deployed horsepower to 932,467. Overall, utilization for the fleet is at 85%, up from 84.2% at the end of the first quarter and up from 78.9% at the end of the second quarter 2017. The vast majority of the increase in the areas with the most activity and demand include the Permian, in Eagle Ford basins as well as SCOOP/STACK areas in Oklahoma where around 70% of our operating horsepower is deployed. Today, we're effectively out of capacity in our large equipment, but continue to build more equipment funded from the recent bond offering in existing cash flow and expect all of these investments to meet and exceed our previously mentioned return rates. We also continue to review pricing with our compression services customers as contracts roll over. Our new contracts are put in place, especially for large gas gathering system assets. These increases started to materially impact our results in the second quarter. We continue to be pleased with the progress on price actions to reflect the increased demand for the large horsepower. We continue to expect the combination of improved pricing and lower cost to fabricate equipment given our vertical integration to continue to drive up our returns on capital. New unit sales activity remained strong. As announced previously in the first quarter, in January, we secured our largest new equipment order in the Company's history, pushing our fabrication backlog for third-party sales to over $100 million. Even with the strong unit sales in the second quarter, our backlog at the end of June remained above $100 million, as we had another strong booking quarter with incoming orders over $25 million. Additionally, in July, we received an additional $80 million order from a large midstream operator in the Permian Basin that will ship in early 2019, pushing our backlog to over $120 million as of today. The demand for new equipment sales continues to be strong and rising. And again, our vertical integration with our fabrication shop in Midland has a huge benefit at this point of the cycle. The industry is short on large horsepower equipment, as the industry continues to build out pipeline and processing capacity, more specifically in the Permian. With the recent margin expansion and additional third-party orders, we expect the new unit piece to be a much more significant contributor to the overall EBITDA on a go-forward basis. Free cash flow, we reiterated our guidance of generating $15 million to $20 million of free cash flow for Tetra, excluding CSI Compressco, including the distribution. Historically, we have consumed cash in the first half of the year and generated free cash flow in the second half of the year. Second quarter revenue increased $46 million for TETRA, excluding CSI Compressco, yet, we generated the $18 million of free cash flow. In the third and fourth quarters, we expect to monetize the increase in Q2 revenue and build and collect for the two previously mentioned CS Neptune projects. With that, I will turn it over to Elijio to elaborate on the financial details.
Elijio Serrano: Thank you, Stu. Second quarter revenue from continuing operations was $260 million compared to $199 million in the first quarter of 2018 and compares to $180 million from the second quarter of last year. Consolidated and adjusted EBITDA from continuing operations for the first quarter was $46.3 million and compares to $26.2 million in the first quarter driven by increased demand across all business lines, better pricing, higher equipment utilization, the European fluid seasonality and a full quarter of the SwiftWater acquisition. Revenue for completion services and products were $77 million and compares to $53 million in the first quarter of 2018. Revenue increased sequentially from strong overall activity and the benefit of seasonality in our Europe Fluids sales, which typically post a strong second quarter. Completion Fluids and products adjusted EBITDA was $13.7 million or 17.9% of revenue. We had a typical seasonal step-up in activity in the second quarter from the European chemical sales, which materially increased revenue and EBITDA from the first quarter. We had no CS Neptune sales in the quarter, but as Stu mentioned, we are progressing on two potential projects for later this year. Our EBITDA margins were 17.9% without the benefit of any CS Neptune activity. Water management and flowback services revenue was up $84 million in the second quarter and increase of $23 million from the first quarter. We had one small early production facility sale this quarter. We also benefited from a full quarter of SwiftWater versus only one-month in the first quarter of this year. SwiftWater had revenue of $28.6 million in the second quarter. Water and flowback services second quarter adjusted EBITDA was $20.1 million or 24.1% of revenue. Quarter-over-quarter, we increased adjusted EBITDA margins and distribution by 510 basis points from strong activity across all basins and a full quarter of SwiftWater results. The first quarter included $2.3 million of EBITDA from one-month of SwiftWater, while the second quarter included $6.8 million of EBITDA for the three months of SwiftWater. SwiftWater has outperformed our expectations for the second quarter that were embedded in the annual guidance we gave on annualized adjusted EBITDA of $16 million to $20 million that we communicated at the time of the acquisition. We expect them to continue to deliver strong results given the demand for water management services in the Permian Basin and through cross-selling opportunities on additional TETRA offerings, our strategy has proven to be successful over the past several months. Compression services revenue of $99.9 million in the second quarter compares to $85 million in the first quarter. The topline growth is coming primarily from aftermarket services, equipment sales and the benefit of higher pricing on our compression fleet. Compression adjusted EBITDA was $22.4 million and compares to $18.9 million in the first quarter. We are seeing traction from price increases as contracts roll over, financial return from recent capital investments in new equipment and higher aftermarket activity, plus increased demand for new equipment sales. Those drivers are in addition to several initiatives from management to improve efficiencies. Despite the market recovery, we continue to look for ways to become more efficient and reduce cost, leveraging our recently installed ERP system. From a balance sheet perspective, TETRA's balance sheet remains strong. We have a $200 million revolver with $139 million of availability and $19 million of cash on hand as of the end of June. We have ample access to capital to addressing the opportunities on organic or inorganic, as they arise. For CSI Compressco, at the end of June, we had $51 million of unrestricted cash from the recent bond offering that is earmarked for investments, where the returns are expected to be 20% or higher. In the second quarter, CSI Compressco finalized and implemented a $50 million asset base credit agreement to fund the working capital needs and outstanding letters of credit. This was achieved after CSI Compressco successfully completed a $350 million seven-year term secured bond offering with 7.5% coupon. The CSI Compressco new debt structure is without maintenance covenant and no near-term maturities. Now I'd also like to again remind everyone that TETRA and CSI Compressco's debt are distinct and separate. There are no policy faults, no cross collateral and no cross guarantees on the debt between TETRA and CSI Compressco. From a guidance perspective, we have done the following. First, we increased our full-year revenue expectations to be between $965 million and $1.005 billion, up from the prior guidance of between $945 million and $985 million, to reflect additional demand for CSI Compressco and new equipment sales. We have increased full-year consolidated adjusted EBITDA to be between $170 million and $190 million. The adjustment to full-year revenue and adjusted EBITDA guidance are flowing through the upward revisions from CSI Compressco's higher equipment sales. During the third quarter, we'll revisit the TETRA projections as we offset any potential impact from the Permian Basin concerns and the formal award and timing of the CS Neptune projects previously discussed. We have further indicated that we expect CSI Compressco's distribution coverage to improve from the 0.64 to 0.65 range in the first half of the year to be between 1.2 times and 1.5 times in the second half of the year, driven by the higher profitability and lower maintenance capital expenditures. CSI Compressco, in yesterday's earnings call, indicated that adjusted EBITDA in the second half of the year is expected to be approximately 34% higher than the first half of the year, for the reasons Stu and I have previously mentioned. With this trajectory, CSI Compressco's leverage ratio by year-end 2018 will improve to be between 5.2 and 5.4 times when measured on annualized fourth quarter adjusted EBITDA. We are also modestly increasing our full-year projected investments in capital given the returns we are attaining. TETRA is expected to be about $5 million higher than the prior guidance, all focused on water management and flowback testing. CSI Compressco is expected to be approximately $20 million higher, focused on the large compressor supporting gathering systems. All the CSI Compressco investments are supported with customer commitments. All the capital requirements for CSI Compressco are being funded with the proceeds from the recently completed bond offering. I encourage you to read our press release from this morning for all the supporting details on the guidance that we have updated. All in all, we had a very solid quarter across all the segments, with many of the basins outside the Permian strongly participating in the improvement over the prior quarter. With that, I'll turn it back to Stu.
Stuart Brightman: Great. At this stage, we'll open the lines for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Praveen Narra of Raymond James. Please go ahead.
Praveen Narra: Thanks. Good morning, guys and great quarter.
Stuart Brightman: Thank you.
Praveen Narra: I guess, we can start on Neptune and kind of what you're seeing in the 2019 time frame. It seems pretty clear what you guys are looking for 2H 2018. But can you talk about the Gulf of Mexico project that you're working on? Is it a new customer? Is there potential for a multi-well opportunity here? Can you just give us a little bit more color on what you're seeing over there?
Stuart Brightman: Yes. I mean, a couple of elements. We talked about the Gulf of Mexico war. That's not Neptune. That's our standard product. So it is an existing customer we've worked with. We've been awarded that. We'll deliver it in 2019. So we'll go into 2019 in the Gulf of Mexico with a much larger backlog than we started the year. So that's one data point. The second data point, as we talked about the status of the two Neptune projects we've been discussing in the past several quarters and expect to execute those and collect the cash this year. One of those, we said, was at a fairly advanced stage in the drilling process. And then the third element as you look at Neptune on a broader base for 2019, and I'll let Brady give some color on it, we've had the first meetings with Halliburton. We're starting to lay out the marketing plan and the opportunity set. And we certainly think the funnel will be much larger, going forward. But Brady, you've been in the middle of that. Maybe you can add a little color.
Brady Murphy: Yes. Thanks, Stu. So as we mentioned in the press release, we have a joint governance team between TETRA employees and Halliburton, and we've had our first session with that. Identified significant pipeline of projects that we've had, but landed on a subset of those projects that we will jointly pursue under the terms of our new agreement, and those are spread out throughout various markets around the world.
Praveen Narra: Okay, perfect. That was actually going to my follow-up question. So thank you very much for that. The other interesting thing, I guess, you mentioned was the integrated projects that you guys have on the slate now, three projects, I guess. Can you tell us a little bit – are these tests of the integrated solution? Are they true awards that have sizable scope? Can you give us a little bit more on that?
Stuart Brightman: Yes. So if you saw our New York investor presentation, we introduced our integrated fluid management strategy, which encompasses transferring water to the wellsite, handling the produced water through flowback and desanding, transferring produced water on location and transferring it to various customer locations and then also the recycling and aboveground storage that is growing rapidly due to the amount of produced water that is being used in fracs All of those operations that exist on the wellsite are pretty people-intensive. Our solution involves quite a bit of automation of that entire cycle. So reducing people cost, more efficiency, those types of projects are what we are pursuing and talking about from an integrated standpoint that were mentioned in our earnings release.
Praveen Narra: Okay, perfect. Thank you very much.
Operator: The next question comes from Sean Meakim of JPMorgan. Please go ahead.
Sean Meakim: Thank you. Hey, good morning.
Stuart Brightman: Good morning.
Sean Meakim: I was hoping to maybe continue on that line of thinking on integrated projects. It sounds very interesting. Could you maybe give us a little more insight into the economics of the projects? I'm just trying to think, in a general sense, the magnitude of the revenue potential, how much incremental capital would you have to deploy? Or is it using existing equipment? I'm thinking about any paybacks on incremental capital. Is this something that's replicable across a number of customers and basins? I think just trying to size the opportunity a little bit better would be great?
Stuart Brightman: Yes, I mean I think several things. We were excited with the strategy. We rolled out that discussion point in the investor day. We're getting a good reception. Brady did a good job of articulating the advantages. I would say, overall, we're in the execution mode. We're getting awarded jobs. We're not in the proving out stage. We think it's scalable. It is not capital-intensive. It's not a major change from our normal capital profile. Again, the areas we're rolling out, the Permian were fully utilized – close to fully utilize on existing equipment, so there's some incremental capital. And as you saw, we increased our capital guidance for the full year. And part of that is attributed to continuing to expand the water business, we think, most of that benefit accruing to next year as the capital comes in, in many cases, in the fourth quarter. Margin-wise, it's very good. And so we think it's – it will average up the margin for that segment. But it's just a good, continued evolution of the strategy, and it's been very well received. And you see it predominantly in the Permian, where the integrated organization we have is able to combine the strengths of SwiftWater technology with legacy Tetra from the Tetra Steel, the automation, the recycling, and I think it's a great holistic solution.
Sean Meakim: Okay, great. Yes, thank you for that feedback. That’s helpful. Maybe we can touch on working capital a bit. Can you provide a little more granularity of what drove the better results given the improvement in the top line? Good to see that working capital is fairly restrained and just how those moving pieces influence the guidance for the back half of the year on free cash flow?
Elijio Serrano: Well, Sean, you've seen that, historically, in the first quarter and sometimes in the second quarter, we consume a lot of capital. It's driven through three things. The first is that you see the typical ramp-up in activity in Canada. And then the spring break up occurs. We start monetizing all that revenue in the second quarter. The third thing is that you see a significant ramp-up in revenue in Northern Europe with our chemicals business, and it begins in late March, early April. We start invoicing and collecting that in the back end of the second quarter, all the way into the third quarter. So those had been the ones that have been consuming in Q1 and generating partially in Q2. Then we'll see the benefit of the ramp-up from the Neptune projects that we expect to build and collect in the second half of the second half of the year. That will be a very significant impact of it.
Sean Meakim: Got it. Okay great. Thank you, both.
Operator: The next question comes from Jacob Lundberg of Credit Suisse. Please go ahead.
Jacob Lundberg: Hi, good morning, guys.
Stuart Brightman: Good morning.
Jacob Lundberg: Just a quick question drilling down on the guidance on the full-year. So like, for example, on water, if your second half results were just flat from 2Q levels, plus $72 million in EBITDA, guidance is standing at $60 million to $66 million. Any color there would be helpful. Is this just caution over what Permian activity is going to look like? Or what – which drove you guys not to revisit that guidance today?
Elijio Serrano: So Jake, good question. We did have a really solid quarter on the water and flowback testing side. Brady talked about picking up some integrated projects that, we think, would have upside opportunity. We're going to take a cautious approach, reassess during the quarter to make sure that the impact of any other takeaway concerns don't impact our outlook. And then when we report the next quarter, you'll see us address the opportunity to continue the profitability with the water management and flowback testing.
Jacob Lundberg: Okay. So fair to say a bit of just conservatism baked into it?
Elijio Serrano: Fair to say that.
Jacob Lundberg: Okay. And then secondly, if I look at SwiftWater sort of the growth rate relative to – if you just annualize their – or gross up the 1Q result, looks like it's growing at about 18%, but that implies kind of a materially lower growth rate in the legacy business. I was wondering if you could just give us a little bit color. What's going on there?
Elijio Serrano: The legacy business is holding its own. It's doing well. One of the benefits that we're seeing is that the customer base that came across with SwiftWater didn't have access to TETRA STEEL double-jacket, lay-flat hose. So we're moving a lot of our service offerings and technology in this area and benefiting the customer base that So keep in mind that this is a collaborative TETRA-SwiftWater customer base product offering, employee base is supporting both. And as we get further into the integration, it's going to be harder to segregate one versus the other because we're starting to move people, equipment and assets back and forth. And it's a matter of, do you assign a TETRA STEEL project to an existing opportunity brought forward with a SwiftWater customer base or pursue a completely new opportunity? As we reported in the future quarters, it'll be hard to distinguish what is SwiftWater versus TETRA because we're integrating it significantly.
Stuart Brightman: And just to add to that, Jacob. Again, I think, one of the points we want to get across is, in addition to the strength in the Permian, we've seen strength in the other basins, which is very encouraging. And within that construct, we've seen continued strength in margin enhancements on the testing side. We've said over the last year that we thought the domestic testing margins would lag the water progression, and I think it has. But we're starting to see, as we said on the call, margin starting to move back to where they were back in 2014. So we're very encouraged about that progression as well.
Jacob Lundberg: Got it. Appreciate the color. Good quarter guys.
Operator: The next question comes from Kurt Hallead from RBC. Please go ahead.
Kurt Hallead: Hey, good morning.
Stuart Brightman: Good morning.
Kurt Hallead: Appreciate the updates and the conservative approach for the year, especially as it relates to the Permian. Gentlemen, I thought it might be worthwhile maybe to discuss some opportunities that you may have outside of North America, whether that be Completion Fluids or production testing?
Stuart Brightman: Yes. I mean, I'll start and then Brady can add to it. I think – when we look internationally, I would say, we continue to be very comfortable in our chemicals business in Europe. It's very predictable. Second quarter had the seasonality we expected, so we continue to feel very strong in that. I would say, the areas we're seeing some positive trends would be our legacy Fluids business in the North Sea. And we're starting to see some progress in our legacy Fluids business in West Africa. I think Brazil is up a little bit this year, and we expect that to continue. The big opportunity set to change that scope even stronger will be as we start to look at the sales funnel on some of the Neptune opportunities working with Halliburton. I think the base business continues to grow, particularly offshore. I mean, I think the offshore fluids piece, non-Neptune on a global basis is certainly starting to move in a positive direction after being fairly quite at the last period of time.
Elijio Serrano: No, the only other thing I would add to what Stu mentioned, particularly on the water side and flowback is Argentina. We do see some very good opportunities for us. Some of the major IOCs that we work for here in the U.S. are not quite active in Argentina. And we're getting quite a bit of interest in our water solutions there as well. So we see that as a growth opportunity in the future.
Kurt Hallead: Maybe in the context, if we just focus and Argentina, right, you have this joint marketing agreement with Halliburton and CS Neptune for the completion side of the business. Is there an opportunity to do maybe something similar with a larger diversified service company or getting a much larger presence or foothold in places like Argentina for your water business and so on? Is that feasible?
Brady Murphy: I think it’s possible. I don't think it's a must-have for us. I think the integrated offering that we just spoke about from water, we're recognized for that solution. And we have a presence in Argentina, where we could execute on our own. I mean, it's a possibility. We may look at that in the future, but currently, we don't believe that's a must-have.
Kurt Hallead: Great. And then maybe as a follow-up, I think in prior conversations, you guys have kind of laid out sum of the parts kind of dynamic for investors and analysts to assess on their own accord. How would you look at to some of the parts now? Do you think the value of Compressco is kind of mapping over to TETRA? And otherwise, what do you think investors might be missing in – on that dynamic?
Stuart Brightman: Yes. I mean, we always like to talk about that. I'm sure, like others, we feel like the full sum of the parts isn't fully reflected. But I think we continue to focus on – we've got three solid businesses. They're all going through a good cycle. They all have differentiators. We've got a clean balance sheet on TETRA. We've got bonds with no covenants on the compression side. And some of the parts, how the MLP maps over, I think we've shown, as a leadership team, over the years, that we're always looking at the structure and the value, and that will be something we'll continue to look at. There's a lot of things going on in the MLP world. We see what others have done. And we'll continue to look and evaluate. I think, in the short term, we're laser-focused on the fact we increased EBITDA sequentially, $4 million in that business. We've seen the margins go up, particularly on compression services. We've seen the utilization. So we feel really good about the business and the short and intermediate opportunities just grow the profitability. That's what we're focused on, first and foremost.
Kurt Hallead: Got it. Thanks Stu. Appreciate that.
Operator: The next question comes from Martin Malloy of Johnson Rice. Please go ahead.
Martin Malloy: Good morning.
Stuart Brightman: Good morning.
Martin Malloy: I wanted to ask about the agreement with Halliburton. In that press release, there was some language about looking at potential new applications for the Neptune project – product that would utilize as a base fluid for other applications. Could you maybe talk a little bit more about that? In particular, what would be the potential scope there?
Brady Murphy: Yes, Martin. So this is Brady. The agreement does address joint development opportunities where both parties bring technology to the table, and we jointly identified projects that we will work on together. As you know, Halliburton has a great drilling Fluids business as well as a Completion Fluids business. And combined with our Neptune technology, there are some clear applications. One, in particular would be reservoir drilling fluid. The drilling market is a huge market. There are benefits to having a clear brine fluid, like Neptune, as your base fluid, certainly, as it relates to impact on the reservoir while you're drilling. And so that would be one example of a project that we may look at. We have not initiated any development projects at this point. We're still in the discussion phase of what projects we'll prioritize, but that would be the one example with a potentially large application.
Martin Malloy: Okay. And then as you look out to 2019, can you maybe give us some insight in the conversations you're having with customers about potential Neptune projects in 2019?
Stuart Brightman: Yes. I mean, as we mentioned TETRA had a pretty significant pipeline of projects that we have been in discussions with customers for some time over numerous geographic areas. Since the Halliburton agreement has been put in place, as I've mentioned, we have taken a subset of those opportunities where Halliburton has a infrastructure, a good footprint in place, customer relationships and have decided to prioritize on those particular projects. Some of those could materialize in 2019. Some of them are in2019 and well beyond. These are long-range, mostly deepwater projects that we're identifying.
Martin Malloy: Thank you.
Operator: The next question comes from John Watson of Simmons and Company. Please go ahead.
John Watson: Hi guys. Good morning.
Stuart Brightman: Good morning.
John Watson: I apologize if I missed this, but was the European chemicals contribution in Q2 quantified? If so, would you mind calling that out?
Elijio Serrano: So historically, when you look at our cash results, John, Q2 is a $10 million to $15 million revenue step-up versus Q1, driven by the chemicals business, and this year was no different.
John Watson: Okay, great. Super helpful. Thanks Elijio. And then for the guidance for the rest of the year, are there any production testing facility sales baked into that guidance?
Elijio Serrano: Not in the second half of the year.
John Watson: Okay, perfect. And then on flowback sand management, I wanted to dig into what you are doing there. Can you talk about sand-viking and trends you're seeing in sand management within the water and flowback segment?
Brady Murphy: Yes, this is Brady. We have a couple of sand management technologies that we are in development and deploying. We do have a couple of sand-viking assets that we are still in the development stages of tweaking for some of the current sands – micron sands that are being used, particularly in the Permian Basin. And we're – I would say, we are 90% plus at the – finishing up the engineering tweaks to that and we'll be commercializing that in Q3. We fully expect to be. We have a few other technologies in the works, as well, to modifying our existing flowback and desanding technology to improve the efficiencies that will – this is an area we're continuing to develop.
John Watson: Okay, great. Thanks guys. Congrats on a good quarter.
Brady Murphy: Thank you.
Operator: The next question comes from Thomas Curran of B. Riley FBR. Please go ahead.
Thomas Curran: Good morning, guys.
Stuart Brightman: Good morning.
Elijio Serrano: Good morning.
Thomas Curran: If my math is correct, it looks like, for the legacy water and flowback services, so water and flowback division, excluding SwiftWater, your revenues increased from $53 million for the first quarter to $55 million for 2Q. And yet your adjusted EBITDA surged from $9.3 million to $13.3 million. So the legacy adjusted EBITDA margin increased from 17.5% to 24.2%. If all of those calculations are correct, could you speak to what the drivers were behind such a significant increase in profitability for legacy water and flowback
Elijio Serrano: So Thomas, we're seeing much higher utilization of all flowback testing equipment across multiple basins in the United States. We're seeing better pricing in – on the flowback testing side. And also, as Brady mentioned earlier, that the water business, even outside the Permian Basin, in the Rockies, in the MidCon, in the Northeast, for example, they're also enjoying quite a bit of success, we're getting better pricing, getting better utilization. The overall performance of that business is beyond SwiftWater. We're seeing an uptick in all of our segments and all our geographic areas there.
Thomas Curran: And – so then turning to pricing, how much did pricing rise from March to June? How has it evolved since June? And where is it now relative to where it bottomed?
Stuart Brightman: I’ll take the first part of that question from first quarter to second quarter. We believe there was slightly double-digits from first quarter to second quarter. Although, we have – during the later part of the quarter, seen it flatten out somewhat. From the bottom, I'm not sure. I'm going to have to ask Elijio to cover that one.
Elijio Serrano: So from the value, if you take the 2015, 2016 time period and assume that, that's the value, if you calibrate where we are today versus right before the downturn, I would say that we're at or slightly above those numbers. And again, the driver here is just the intensity of the work, the volume of gas, of sand and water being moved and also the duration that they were at the job site. So in the past, if we were at the job site one to two weeks, then we'll not demobilize and mobilize to another project. And today, we're at a job site for four, five, six, seven weeks as I go through multiple stages. That utilization and the lack of demobilizing and mobilizing is having a significant impact on our profitability. So it's both practices and price that's giving us much better margins.
Thomas Curran: Okay, that’s gets closer to the crux of what – it appears to be happening. And then sticking with water and flowback, of your four geographic markets outside the Permian, Rockies, MidCon and Northeast and South Texas, which is presently the biggest? Where do you see the most growth potential? And then by this time next year, how much of the division's total revenue could you derive from basins other than the Permian? So where could the non-Permian share of the topline move to by this time in 2019?
Stuart Brightman: Yes. I mean, again, without trying to forecasting too much detail next year, just to give you some color, I mean, I think, once you leave the Permian on the water side, I would say Appalachia and MidCon are probably our two strongest, and we expect both of those to continue to grow. What percentage that makes of total pie next year? I'm not certain I want to get out that pie because that involves not only that piece, but forecasting the Permian. But the message is the margins are very strong outside the Permian as well as in the Permian, and those businesses are cycling up. And it's one of the areas we feel good about that, if, in fact, things were to flatten out in the Permian, we've got other areas of growth that we're confident on. And again if it were to flatten out, our view is, as we've said before, our customers are in good shape. They've dealt with the takeaway capacity. But if that were to happen, we feel the other areas were in good shape.
Elijio Serrano: And Thomas I would add that in the capital investments that we've made in the segment in the first half of the year, they're not all Permian concentrated. We've investment incremental capacity to the Rockies and into the Marcellus market to keep up with the demand in those areas.
Thomas Curran: Correct, very encouraging here. Thanks for fueling my questions guys. I’ll turn it back. End of Q&A
Operator: [Operator Instructions] This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Brightman for any closing remarks.
Stuart Brightman: Well, thank you. Great questions, as always, and we'll look forward to updating the group on the third quarter in a few months. So thank you.
Operator: Conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.